Operator: Good morning, ladies and gentlemen. And welcome to Spirit AeroSystems Holdings Incorporated Third Quarter 2022 Earnings Conference Call. My name is Harry, and I will be your coordinator today. [Operator Instructions] I would now like to turn the presentation over to Aaron Hunt, Director of Investor Relations. Please proceed.
Aaron Hunt: Thank you, Harry, and good morning, everyone. Welcome to Spirit’s third quarter 2022 earnings call. I am Aaron Hunt, Director of Investor Relations; and with me today are Spirit’s President and Chief Executive Officer, Tom Gentile; Spirit’s Senior Vice President and Chief Financial Officer; Mark Suchinski; and Spirit’s Executive Vice President, Chief Operating Officer and President of Commercial Division, Sam Marnick. After opening comments by Tom and Mark regarding our performance and outlook, we will take your questions. Before we begin, I need to remind you that any projections or goals we may include in our discussion today are likely to involve risks, including those detailed in our earnings release, in our SEC filings and the forward-looking statement at the end of this web presentation and referenced in our call today. In addition, we refer you to our earnings release and presentation for disclosures and reconciliation of non-GAAP measures we use when discussing our results. And as a reminder, you can follow today’s broadcast and slide presentation on our website at spiritaero.com. With that, I’d like to turn the call over to our Chief Executive Officer, Tom Gentile.
Tom Gentile: Thank you, Aaron, and good morning, everyone. Welcome to Spirit’s third quarter earnings call. Global air traffic demand continues to make good momentum toward pre-pandemic levels, but the lingering impacts of the pandemic are complicating the recovery and creating a challenging economic environment. The supply side of the aerospace recovery remains in a fragile state. While we saw positive earnings from all three of Spirit’s segments for the first time this year, our day-to-day operations continue to face challenges for multiple factors, including volatility in near-term production rate schedules, supply chain challenges, availability of skilled labor and persistent inflation. For example, while the headline production rates do not change, we have seen delivery schedule changes since last quarter for some programs, including the 767, the A220 and the A320, pushing units out of 2022 and putting pressure on free cash flow. Frequent schedule changes create challenges for us and our supply chain. While many of our suppliers are performing to expectations, we continue to see disruption in the supply chain, which is causing part shortages in our factories. Several issues are driving the supply chain disruption, including skilled labor shortages, attrition, part shortages and inflation. Labor has also been a challenge. Earlier in the year, we addressed our labor needs by recalling workers. Many of these workers were less experienced and have had a longer learning curve to meet the same levels of productivity as the workers that retired during the pandemic. As we have gone to the open market to fill new openings, we have seen a higher level of attrition than in the past. To mitigate this attrition and attractive skilled labor needed, we have brought on additional contractors, have been holding job fairs, we have lengthened our training program and have increased hourly starting wages. In addition, we have even been offering a signing bonus for hourly workers of $3,000 in Wichita. These issues, schedule changes, part shortages, labor shortages and attrition and inflation, have disrupted our production system in Q3, resulting in lower than expected deliveries, which in turn had a negative impact on our cash flow. We have put in place plans to address these challenges and we continue to target 300 deliveries for the 737 during the full year 2022 with our team. There’s obviously risk to achieving this target, but our team is making a tremendous effort to achieve this delivery schedule so that we start 2023 in a stronger position. Right now, we are producing the 737 at a rate of 31 aircraft per month. We expect to be at this rate for much, if not most, of 2023. Given the ongoing schedule, supply chain and labor challenges that we have been encountering, we have launched a cost optimization effort that should enable Spirit to be profitable and cash flow positive when the 737 is at 31 aircraft per month, which is where we are now and may remain for some time. This cost optimization effort will focus on reducing structural cost at Spirit in three major areas, operations, supply chain and infrastructure overhead. While our Commercial operations are taking more time to recover from the MAX grounding and the pandemic, our efforts to diversify into Defense & Space and Aftermarket are gaining more traction. Our Defense & Space segment grew this quarter its revenue by 17% with 11.4% margins. We have been able to win more classified Defense projects that are important to the new National Defense Strategy by repurposing some of our excess wide-body capacity to Defense application. So far, we have transitioned approximately 1.2 million square feet in Wichita to Defense business. These classified programs are early in their development, but will contribute to revenue and profit when they get into full rate production. In September, we were awarded a contract to provide the new horizontal stabilizers for the KC-135 tanker. We continue to target $1 billion in Defense & Space revenue by 2025. The Aftermarket business also saw solid growth in Q3. The segment grew 38% over Q3 2021 with 24% margins. We recently signed an MOU with Malaysia Airlines Berhad to establish repair services for nacelles and flight control surfaces. We continue to target $500 million of revenue for our Aftermarket business with margins in excess of 20% by 2025. I will now turn the call over to Mark to take you through a few more details on our third quarter results. Mark?
Mark Suchinski: Thank you, Tom, and good morning, everyone. We continue to experience significant pressures this quarter due to lingering impacts of the pandemic, including a very challenged supply chain, labor shortages, some production schedule volatility and ongoing inflation. These challenges are not unique to Spirit and I am certain you have heard it from the other earnings calls over the last couple of weeks. We believe these challenges will continue through 2023 and we are taking additional actions like implementing a cost optimization program. We are slowly starting to see an improvement in our financial metrics. Revenues were up 30% year-over-year. Gross margins were the highest we have reported since the pandemic began. And most significantly, this is the first time we have reported positive Commercial segment margins since 2019, while operational cash flow has continued to improve due to higher 737 production rates. Now let me take you through the details of our third quarter financial results. First, let’s start with revenue on slide two. Revenue for the quarter was $1.3 billion, up 30% from the same quarter last year. This improvement was primarily due to higher production on the 737 program and increased Aftermarket revenue, partially offset by lower production revenue on the 747 program. Turning to deliveries. The narrowbody programs in the third quarter of 2022 were 40% higher compared to 2021, with 226 in the third quarter of 2022. We delivered 22 more 737 units and 40 more A320 units compared to the third quarter last year. Wide-body program deliveries were up 11% compared to the third quarter of 2021. Overall, deliveries increased to 316 units, compared to 248 in the same period of last year. Now let’s turn to earnings per share on slide three. We reported earnings per share of negative $1.22, compared to negative $1.09 per share in the third quarter of 2021. Adjusted EPS was negative $0.15, compared to negative $1.13 in the same period last year. This quarter’s adjusted EPS excludes the deferred tax valuation allowance, as well as costs related to the termination of the Pension Value Plan A, while the third quarter 2021 adjusted EPS excludes the deferred tax asset valuation allowance and a pension curtailment gain. We continue to experience disruptions in our factories as a result of part shortages and labor challenges, while continuing to see further inflationary pressures in logistics, energy and other indirect areas. Operating margins were slightly positive compared to negative 16% in the third quarter of 2021. The margin increase reflects higher production rates, specifically on the 737 program, as well as lower forward losses and excess capacity costs during the current period. The quarter’s forward losses were $49 million and unfavorable cumulative catch-up adjustments were $5 million. This is compared to $70 million of forward losses and $3 million of unfavorable cumulative catch-up adjustments in the third quarter of 2021. The current quarter forward losses were primarily driven by the A350, 787 and RB3070 programs. The A350 charges were a result of additional costs related to labor, freight, rework and the impact of part shortages, while the 787 losses were driven by increased supply chain and other costs associated with the ramp up of production and the RB3070 programs forward losses were driven by increased engineering cost estimates. The third quarter 2022 earnings also included $31 million of excess capacity costs, a decrease of $21 million over the same period of 2021. Other expense for the third quarter of 2022 was $42 million, compared to other income of $95 million in the same period last year. The variance was primarily due to pension plan termination activities that were undertaken separately in each of the third quarters, which drove special accounting impacts in each period. The third quarter of 2021 included a curtailment gain of $61 million, resulting from the closure of the defined benefit plans acquired as part of the Bombardier acquisition. In our current period, we terminated the frozen U.S. Pension Plan Value A. This termination satisfies pension obligations to participants, while also eliminating the risk of future market volatility and reducing future compliance and fiduciary obligations. In relation to this termination, we recognized noncash charges of $73 million in the third quarter of this year, primarily driven by an enhanced benefit the company is providing to certain U.S. employees in conjunction with the planned termination. We also anticipate additional noncash charges over the next few quarters as the plan is finalized. Once this is completed, we expect after-tax cash reversion in 2023 in the range of $120 million to $150 million. Going forward, we anticipate the absence of this plan to reduce noncash pension income by about $30 million annually. Now turning to free cash flow on slide four. Cash used in operations for the quarter was $36 million, which includes the quarterly cash repayment of $31 million towards the Boeing 37 (sic) [737] Advanced received in 2019. Free cash flow usage for the quarter was $73 million, which was higher compared to the same period of 2021, driven mainly by large cash items in the third quarter, which included a $228 million tax refund and $38 million received from the Aviation Manufacturing Jobs Protection Program. 2022 free cash flow has been and will be negatively impacted by customer deliveries that have been pushed into 2023, particularly on the A320 and A220 programs. Additional headwinds from the forward losses recognized on the A350, 787 and RB3070 in the third quarter, as well as ongoing supply chain disruptions, labor shortages and inflationary pressures. As a result, we expect the fourth quarter free cash flow to be between breakeven and negative $75 million. This estimate along with the $450 million cash usage through the third quarter resulted in a full year free cash flow usage of negative $450 million to $525 million. Obviously, this is an increase from our previous target with the majority of the increase due to push out of deliveries into 2023. With that, let’s now turn to our cash and debt balances on slide five. We ended the quarter with $671 million of cash and $3.8 billion of debt. Considering the lower production rates we are seeing and the current plan to stay at rate 31 on the 737 program for longer than our previous plan. We expect that it will take us longer to reduce our debt than originally anticipated. We now plan to explore refinancing options to provide additional cushion given the uncertain economic environment. As I mentioned earlier, we also expect to receive the surplus cash from the pension termination in 2023 and we anticipate this amount to be approximately $120 million to $150 million. Next, let’s discuss our segment performance on slides six through eight. This quarter, we saw significant year-over-year improvements across all three segments, as well as sequential improvements across each segment over the second quarter of 2022. Now let’s get into more detail on Commercial segment on slide six. In the third quarter of 2022, Commercial revenues increased 32% compared to 2021, primarily due to higher production volumes on the 737, 777 and A320 programs, partially offset by lower production on the 747. Operating margin for the quarter increased to positive 4%, compared to negative 9% in the same period of 2021. The improvement was due to higher volumes on the 737 and lower changes in estimates and lower excess capacity costs. Changes in estimates during the current quarter included forward losses of $47 million and unfavorable cumulative catch-up adjustments of $7 million. In comparison, during the same period of 2021, the segment recorded $62 million of forward losses and $3 million of unfavorable cumulative catch-up adjustments. The segment had excess capacity cost of $30 million, compared to $55 million in the same period last year. Now let’s turn to Defense & Space on slide seven. Defense & Space revenue improved by 17% compared to the third quarter of 2021, due to increased P-8 and CH-53K production and higher development program activity. Operating margin in the quarter increased to just under 12%, compared to 6% in the same period of 2021. The improvement was due to higher classified program profit and lower forward losses compared to 2021, partially offset by higher costs in the current period on the Sikorsky CH-53K program. The segment recorded forward losses, favorable cumulative catch-up adjustments and excess costs each of $2 million, compared to forward losses of $9 million, favorable cumulative catch-up adjustments of $1 million and excess capacity cost of $2 million in the third quarter of 2021. For our Aftermarket segment results, let’s turn to slide eight. Aftermarket revenues were up 38% compared to the same period of 2021, primarily due to higher spare part sales, as well as higher maintenance, repair and overall activity. Operating margin for the quarter increased to 24%, compared to 14% in 2021, due to higher margins on spare part sales and MRO activity compared to the same period in the prior year. Our Aftermarket team continues to win new business and we are pleased to see the continued growth in this segment. In closing, we remain focused on execution and delivering on our commitments to our customers as we manage through the pressures from the strained supply chain, a tight labor market, increased costs and the associated impacts of those pressures to our customer production schedules. Although the pace isn’t as fast as what we would like to see, we are on the right trajectory to financial recovery. Revenues, margins and operational cash flow have continued to improve over the last two years and we expect that recovery to continue going forward. As Tom mentioned, we now expect the 737 program to remain at a rate of 31 per month for most of 2023. And as a result, we are initiating a focused effort to enhance our profitability and cash flow in 2023. This program will have a dedicated team focusing on reducing structural costs in the areas of operations, supply chain and overhead. As we look to 2023, we continue to expect free cash flow to be positive and we plan on sharing more details at our next earnings call in February. Now, let me turn it back over to Tom for some closing comments.
Tom Gentile: Thanks, Mark. It was a challenging quarter, but we were pleased to see some positive results, which will provide a foundation for a strong future outlook. First, overall revenue was up 30% year-over-year, mostly on 737 deliveries, which were 69 this quarter versus 47 a year ago. Defense revenue was up 17% year-over-year with 11% operating margins. Aftermarket revenue was up 38% with 24% operating margins. This quarter, we had the first positive operating income in three years at $5 million and it was the highest segment operating margin in 3 years at 6.5%. These positive results are encouraging, especially since the adverse impact of the pandemic is lingering far longer than we all expected. The main challenges we have seen are similar to what other companies are experiencing. Unstable schedules from customers in a very dynamic environment even when headline production rates do not change. Supply chain disruption resulting in part shortages for our factories, labor shortages and elevated levels of attrition and high levels of inflation, we expect some of these challenges to continue into 2023. We are, therefore, taking several actions to position Spirit to be profitable and cash flow positive even if production rates on the 737 remain longer than we expect at 31 aircraft per month. These three major actions to reinforce our performance in 2023 are the following. First, launching a cost optimization effort to remove structural cost in infrastructure, supply chain and operations that will ensure that Spirit is profitable and cash flow positive at 31 aircraft per month, if that rate ends up being where we say for an extended period of time. Second, exploring refinancing options to provide additional cushion given the uncertain economic environment, we are not planning to issue equity. And third, completing the process of our U.S. pension plan termination, which will revert between $120 million and $150 million of cash in 2023. With that, we will be happy to take your questions.
Operator: [Operator Instructions] Our first question will be from the line of Greg Konrad from Jefferies. Please go ahead.
Greg Konrad: Good morning. Maybe just…
Tom Gentile: Good morning, Greg.
Greg Konrad: … just starting on the puts and takes for Q4 free cash flow. At the lower end of the usage, it kind of matches Q3 with -- based on the 300, a pretty big step-up in 737 MAX deliveries. How do you think about the puts and takes and how are you thinking about these items into 2023?
Tom Gentile: Right. Well, the key, of course, for cash flow, both in Q4 and in 2023 is going to be deliveries of all programs, but particularly the 737 MAX. And so, as I mentioned in my remarks, our target is still 300, which means we have about 100 more to go in Q4 and the team is focused on that. That will obviously drive better cash flow. And looking at next year, as I said, we are planning to stay at 31 aircraft per month and executing on that, stabilizing our factories, stabilizing the supply chain, getting working capital under control and so that will be a key driver for next year on free cash flow.
Greg Konrad: Thank you.
Operator: Our next question is from the line of Seth Seifman of JPMorgan. Please go ahead.
Seth Seifman: Hi. Thanks very much and good morning. I guess when you talk about next year and being free cash flow positive next year, would that be free cash flow positive before the, let’s call it, $135 million from the pension coming back? And then also when we talk about exploring refinancing options, is that right now about the next year’s maturity or is it something more comprehensive?
Tom Gentile: Right. Well, the answer on the first question is, yes, that we expect to be free cash flow positive even without the $120 million to $150 million reversion from the pension termination. And then secondly, in terms of -- your second question, again, Seth, was what?
Mark Suchinski: On the ....
Tom Gentile: Oh! Yeah.
Seth Seifman: Just about the refinancing...
Tom Gentile: Yeah.
Mark Suchinski: Yeah. So, Seth, we are just exploring all options. I would say that, we are looking at it holistically, and so at this point in time, we are not really kind of narrowing in to any one specific maturity. We are just looking at the backdrop of our current -- the macroeconomic environment. We are looking at the fact that 737 production rates are going to be longer -- lower for longer and so we are evaluating the -- our entire situation, we are evaluating the capital market environment and we will be making some decisions shortly.
Seth Seifman: Okay. Very good. Thanks very much.
Operator: And our next question is from the line of Robert Spingarn of Melius Research. Please go ahead.
Robert Spingarn: Hey. Good morning. Tom, if I can…
Tom Gentile: Good morning.
Robert Spingarn: … I have got two for you, one short-term and one long-term. What is it about Q3 that all of a sudden, we are seeing significant movement in the rate assumptions? It sounds like you all were -- you have changed since Q2 on this 31 and I imagine that’s because of what Boeing said, and so why all of a sudden change in the plan, not just there, but on the 320 and the 220? What happened between July and now in the supply chain? And then the longer term question is, the second question, you haven’t had much time to think about this, but now that Boeing has given us numbers for 2025 and 2026 for their own financials and on rate, so 50 for the MAX, 10 on the 787, you already have an Airbus plan for them. Can you come back to us with a plan for Spirit in those years?
Tom Gentile: Okay. Robert, well, let me do the first question first. On the short-term, in terms of the rate assumptions, let’s just start with MAX. We are just right now getting some greater clarity from our customer, Boeing, in terms of what their outlook is. They gave a little bit more detail yesterday in their Investor Day and so we are solidifying our plans. As we look at it, we have always said, we want to trail them a little bit so we can burn off some of this inventory that we built up during the MAX grounding in the pandemic and that hasn’t really started yet. So as we look at next year, they said they are going to be at 31 for an extended period of time, so we will as well and we will just watch their increases and we will trail along accordingly. We still have a buffer. This quarter it was about 75 units or actually 72 units, whereas last quarter it was 66 units. So it actually grew a little bit this quarter. So that’s the situation on 737 MAX. With regard to the 320 and the 220, it really wasn’t necessarily anything to do with the supply chain. It was more just Airbus making some decisions to move units out of the year. So the production rate didn’t change, but they just moved units out of the year that we won’t deliver and that was the update really in terms of those programs. So I mentioned that in my remarks, it was the headline production rates didn’t change, but the number of units that we delivered did because they moved them out of the air. So that is the...
Robert Spingarn: It just seems like everything is tied to production rates and they are volatile and they are all over the place. I mean, I heard a lot of different production rates when I was out in Seattle in the past two days and it just seems like there’s still quite a bit going on in the supply chain that prevents visibility for all of you?
Mark Suchinski: I think that’s a fair comment. It’s a very dynamic environment and things are moving around. And one thing Boeing mentioned yesterday is, they want to stabilize everything at the current production rates before they make decisions about going up. And Airbus really wants to ensure that everything is stable as well and they have very, as you know, aggressive rate increases over the next few years. So we want to make sure that we are meeting the requirements, yeah?
Robert Spingarn: I was just going to say, it just seems like you were all -- you all felt more comfortable with this three months ago than you do now.
Mark Suchinski: I’d say the dynamic environment and some of the uncertainty continues to play a part. It was a dynamic quarter for the reasons I mentioned, part shortages…
Robert Spingarn: Okay.
Mark Suchinski: … attrition and inflation. So on the longer term, yeah, you said that Boeing has outlined some of their targets for rates on 737 MAX in 2025 and 2026 for 50 and then 787 to 10. And yes, that gives us some more clarity now and we can take that information and incorporate it into our current forward looking planning and start to come up with some outlook for those years as well. Obviously, we haven’t had time to do it in the 24 hours since we learned about it, but…
Robert Spingarn: No…
Mark Suchinski: … we will be using that information, yeah. Go ahead.
Robert Spingarn: Mark, I think, the market would appreciate that. Thanks so much.
Mark Suchinski: Okay. Got it. Thank you.
Operator: Our next question is from the line of Cai von Rumohr from Cowen. Please go ahead now.
Cai von Rumohr: Yes. Thank you so much. So, your target is 100 737s in the fourth quarter. That’s way above anything that you have done. What kind of challenge is there to get that? Is your cash flow guide based on getting there, and if you miss, how should we think about per unit, what that means in terms of cash flow shortfall?
Tom Gentile: Right. It is higher than we have delivered in the recent past, but we have been working up to it with all of the changes and improvements and additions that we have been making over the course of the last year. So for example, we have been continuing to hire new staff. We have brought on new contractors. We continue to incorporate the benefits of some of the digitization, automation and lean process flow changes that we have made in the plants and so all of those things are starting to come into fore. We have also started to see some sort of stabilization in some of the part shortages. There’s still some part shortages but it’s stabilizing and we feel like we can have a good control of it. So that’s why we set that target and we are tracking to it right now. Now there is a risk that we might miss some of those deliveries. And that was why when Mark said the guidance for Q4, he gave the range of zero to negative 75, to take into account that if we execute on all of them, we would be at the higher end of that range, and if we miss some, we would be toward the lower end of the range. Mark, anything else to add?
Mark Suchinski: No. I think you said it right. I mean, I would prefer not to give you such a wide range in the fourth quarter. But as Tom said, there continues to be part shortages. We have got a few very critical suppliers that we are depending on to make these deliveries in the fourth quarter. And if we can’t get the parts in and we don’t deliver, that means I can’t turn around and build a customer and collect the cash. And so we are going to fight through it over the next couple of months and so that’s the range where we have, if we end up not being able to make those deliveries this year, they fall into next year. That just means it’s a timing situation. The cash ends up. We collect the cash in 2023 as opposed to this year.
Tom Gentile: But I’d say over the course of the last couple of quarters, we have been working toward getting to 31 aircraft per month and stabilizing at that level. So we are currently operating the plant at 31 aircraft per month. We remain on the plan that we outlined for Q4. There are lots of challenges, but we are confident that the team is now performing and executing at its highest level for the last several quarters.
Cai von Rumohr: But I don’t understand, so 31 per month basically equals you are 93, you are talking 100. You are talking more. So are there some that essentially have been built that you would complete, because 100, I mean, as I said to begin, is a pretty aggressive number given where you have been?
Tom Gentile: Yeah. The actual rate is a little bit higher than 31 in terms of where we cycle so that…
Cai von Rumohr: Okay.
Tom Gentile: … explains for some of it. We have some overtime built into that. And yes, there were about eight or so, eight or 10 units that were not delivered in Q2 that’s carried over to Q3 and so we finished those up in the very early part of Q4. They didn’t finish in Q3. So it’s all those factors that give us confidence that we can hit the target. Now there’s some risk to it, but that’s what the plan is and that’s what the team is executing to.
Cai von Rumohr: Very helpful. Thanks so much.
Operator: For our next question, Doug Harned of Bernstein. Please go ahead.
Doug Harned: Yes. Good morning. Thank you. On -- you talked about on next year really pushing through a cost reduction effort. But given that we have gone through the pandemic, clearly, you and others, everyone had to reduce a lot of cost there. How do you envision taking cost out from here, and then with that, if we see a rate go up, which we expect we will, it’s not clear exactly when, how do you make sure you haven’t cut too much, so we don’t end up back in the same kind of situation that a lot of suppliers were in before when demand picked up?
Tom Gentile: Right. Well, a few things, Doug. First of all, on SG&A, we have got to make sure that we align the cost -- of all the indirect costs to the production levels that we have, not necessarily higher production levels that we may have anticipated. We want to continue to optimize those costs and make sure we are getting them at the most competitive rates. So for example, a lot of our indirect sourcing and purchased services, we are taking a hard look at those types of costs to make sure that we are controlling them. The other thing is supply chain, and there what we are looking at really is level loading the system in the optimal way, is figuring out where are the pockets of capacity and labor that exist and at more competitive cost and how can we move that around the supply chain, including how can we take some of the things that we have brought in during the pandemic, how can we push that back out to the supply chain and get more cost benefits. And looking at a whole range of different options with the supply chain to level load the system and overall create more optimal pricing. And then the third thing is in operations is continuing to leverage the investments that we have made over the last couple of years in things like digitization, automation and lean factory flow in capturing those benefits to drive improvements in realization and productivity on the factory floor to get more cost. We will also look at, for example, our R&D, is how can we get better benefits from the R&D, not so much in terms of necessarily reducing the R&D, but perhaps, shifting some of it from things that are further out to R&D efforts that will deliver productivity benefits more in the near term. So we have what we call Horizon 1, Horizon 2, Horizon 3. We will be shifting some out of Horizon 3 into Horizon 1. And then the last area is things like capital expenditures is, again, looking at those capital expenditures and saying, well, what’s absolutely critical, what can we potentially push out or stop in order to improve the outlook for 2023. So it’s that combination of activities that will drive the benefits in overhead, in supply chain and in operations. Mark, anything else to add?
Mark Suchinski: Yeah. No. I think you covered it. Doug, we are not really going to be aggressive on the factory specific assemblers, et cetera. There are many things that we are working on around outsourcing transactional type work. We are looking at combining some administrative functions across some of our sites. These are some things that, with production volumes being lower for longer, we could afford some of that in the past. But at this point in time, we can’t. And so these are some real structural things that we are going to go do. But be very, very mindful that we don’t have a negative impact on our ability to deliver. There’s -- some of our sites, there are some factories that are over utilized. We have to do some consolidation. So it’s those types of things and we are -- at this point in time, we have to aggressively go at it. It will help us improve our overall margins and it will improve the cash flow projections that we have. So we are taking it serious. We are doing it in a way to make sure that we protect the factory. But there is some costs out there that we need to go get, in fact, due to the fact that production rates aren’t recovering as quickly as possible.
Doug Harned: But if I can -- if -- Boeing said yesterday that they looked at this 31 a month rate through the next year. But depending how things go in the supply chain, particularly with engines, at some point, it could go up to 38. When you look at that and you have been going through this for a while, this uncertainty of when that next rate break would be. How much lead time do you need to take rate up if Boeing were to say -- they are not going to do it, but if I wanted to say tomorrow, we are going to 38 in Q2 or something like that?
Tom Gentile: Right. We -- Doug, as we have said before, we usually like to get 6 months of lead time on a rate increase, and we are very mindful that we need to make sure we deliver and meet the rate expectations of our customers and so we are working closely with them, we are watching it. And we are not going to do anything in terms of our cost optimization project that would hinder us or prevent us from meeting the rate expectations of our partners. But generally speaking, we like to have a six-month notice and we are confident that working with Boeing will have at least that if there is a rate increase in 2023.
Mark Suchinski: Yeah. I would just add, Doug, that was historically true with the macroeconomic environment, labor shortages, attrition. We have to do this thoughtfully. We don’t want to put ourselves in a position where we have a negative impact to the factory. So definitely contractual commitments to six months, but in light of the current environment, we are trying to work with Boeing on six months to eight months lead time, right? Let’s make sure that we protect the production system, we hire the people, we place the orders and do it in a very thoughtful way so that we could execute this in a manner that really help support the airlines but also protects our profitability.
Doug Harned: Great. Thank you.
Operator: Our next question is from George Shapiro from Shapiro Research. Please go ahead.
George Shapiro: Yes. Good morning. Mark, I just wanted to go back and get some color as to why cash flow got so much worse and could it happen next year, because like in the Q4 call that occurred only back in February, the guide was for effectively minus $120 million, including the cash payment to Boeing, and obviously, you gave the numbers this morning. So when you look at that clear deterioration in like eight months, what were the biggest drivers for it?
Mark Suchinski: George, I think, we have tried to convey this, the production schedules, the delivery assumptions, right? We started the year expecting 350 737 deliveries, it’s 300, 50 units, the amount of content and revenue and cash that’s generated from that program is significant. When we look at the deliveries on A320 and where they are, we just talked about Airbus sliding out close to 30 units on us, either within their air supply window of 30 days, the A220 program, the OEMs are being challenged. They are seeing supply chain challenges. They are seeing engine shortages. All of this stuff rolls down to the Tier 1, right? And we are trying to react to it as quickly as we can. But George, you have been in this business a long time. This is a long cycle, very complicated manufacturing process, long lead times and so when we gear up the system to go produce and hire people and bring in inventory to support certain production rates and those production rates change in short order. It’s very difficult for us to pivot as quickly as that can be. And so what I would tell you is this, the one lesson learned for me is to be very cautious right, about those production rates and what people are saying about the increase. And therefore, as we think about 2023, trying to take those lessons learned and the comments that Tom talked about is -- our expectation is we are going to be at 31, right? We are not expecting and planning financially to do any better than that. And so from a financial planning standpoint, we have to assume that these production rates are going to be close to where we are now, right? We have got to get the factories healthy and we can’t anticipate these things going up until there’s clear line of sight to it. And so we have been through several cycles in the last 10 years, production rate climbs. And I have been here over 16 years, and I can tell you the challenges we are seeing with labor and supply chain, right? And the inflation is putting away more pressure on the production system -- even when we went from 42 up to 52. It’s a challenging environment out there and it’s putting a lot of pressure on our ability to produce. It’s putting a lot of pressure on our ability to generate cash. We have got to carry extra inventory buffers because of supply chain. I would just say it’s not a stable environment, and right now, collectively, Spirit, the OEMs, we have to get the factory stable. We have to start delivering at 31 a month consistently and when that happens, you will start to see the earnings and the cash flow generation come through.
Tom Gentile: Yeah. George, what I would say is, the recovery has just been more uncertain than any of us expected. We have seen multiple schedule changes really in all the programs, pushing things out further than we had anticipated. So that’s the biggest driver by far.
George Shapiro: Okay. And let me just kind of push this towards 2023 for a minute. So at the 31 rate, you are obviously going to deliver like 370 737s next year. It’s only 20 more than what you expected to deliver early this year when the cash was going to be negative $120 million and now you are saying it’s going to be positive next year. I mean, you get positive just from 20 more 37 (sic) [737] deliveries next year versus what your expectation was from early this year?
Mark Suchinski: George, remember, the negative $120 million included the repayment of the Boeing Advances of $130 million.
George Shapiro: Right. Yeah. It -- you had said breakeven…
Mark Suchinski: So if you wouldn’t have included those -- right? If you would not include that, you exclude it and that would have said at 350 737s, we would have expected to be positive.
George Shapiro: Yeah. Breakeven is what you have said. But -- okay, but the A320.
Mark Suchinski: …breakeven slightly positive.
George Shapiro: Okay. And for 2023, the extra 20 deliveries gets you to, say, you are quite positive ex the $120 million to $150 million pension benefit you are going to get?
Mark Suchinski: We…
George Shapiro: I mean, I would say, we are trying to figure out what...
Mark Suchinski: We haven’t said how cash positive. We said we would be cash flow positive in 2023, excluding the pension cash reversion and that we would provide more specifics in February when we have a better line of sight to what our production schedules are going to be.
George Shapiro: Okay. Thanks for the color.
Mark Suchinski: Thank you.
Operator: And our next question is from the line of Kristine Liwag of Morgan Stanley. Please go ahead.
Kristine Liwag: Hey. Good morning, guys.
Tom Gentile: Good morning.
Mark Suchinski: Good morning.
Kristine Liwag: So looking at production rates, I mean, Tom, you alluded to that you heard about the new 737 production rate 24 hours ago when they released it to investors. In the past few quarters, it seems like the production rate guide down continued to be a surprise. I guess, I would have assumed that you are in close discussion with Boeing, it would be part of their planning process. So is this surprise normal or is there something going on that you are not more in line with their planning process?
Tom Gentile: No. We obviously talk to Boeing every single day about production schedules and we have plans that are in place and scenarios. What I was saying is just their public announcement. I mean, obviously, we have the schedules that are in place and the interactions that take place. But it’s been dynamic. As I said, production schedules have changed in the last 14 months or so, we have had several different production schedule changes on the 737 at the highest level, but also in terms of the minor model. It’s a very dynamic environment. It’s changing on a weekly basis. And so that’s what I meant by that and not to say that we are just learning now what the outlook is. We obviously have production rate scenarios that we have been working with in a lot of detail. And that’s why we are confident that, whatever Boeing does, we will be able to adapt to meet it, because we are in constant discussion with them and we have good outlooks and we are constantly looking at different scenarios.
Kristine Liwag: I see. That’s really helpful color. And if I could clarify one thing you guys mentioned, so for 2023, it seems like your previous outlook where you would be positive free cash flow was predicated on higher production rate. So is that -- and I know you guys thought that you will provide more details next quarter. But now would be -- maintaining that positive free cash flow in 2023 on lower production rate, does that imply that you expect to get that from these cost initiatives or like, can you give us a few moving pieces on how you get there?
Tom Gentile: Right. Well, we always said we would aspire to be cash flow breakeven essentially at 31 and what we are saying now is, since we expect to be at 31 longer, we want to take actions to enhance our profitability, put ourselves in a position to be more cash flow positive and more profitable if we stay at 31 longer. And the things that we are going to do are the things that I mentioned earlier in terms of our operations is, we will look to incorporate and get the benefit of some of the investments we have made in digitization, automation and flow. In terms of overhead, we will look at consolidating capacity where it’s underutilized, share -- aligning costs between sites in a more efficient way, looking harder at indirect costs and purchase services and making sure those are aligned to production. And then in the supply chain, it’s really looking at level loading to figure out how we can get the best cost position and go to where the capacity exists in terms of people and infrastructure, because there are shortages in different pockets and we have got to level load the system so that we can optimize that better and those are the things that we would do to be more profitable and more cash flow positive at 31 aircraft per month. Now we say 31 aircraft per month, we use the MAX as just a proxy for the whole system. But obviously, all of the programs contribute to it. It’s just that the MAX is still our biggest program and so we always use that as a proxy.
Mark Suchinski: Yeah. Kristine, the only other item I would just add is, we are coming off a pretty challenging third quarter. Deliveries aren’t -- didn’t really hit where we expected due to all the factors that we just talked about. And when you look at cash from ops, it was a consumption of $36 million, $31 million of that was a Boeing Advance repayment. So operationally and working capital wise from a cash from ops standpoint, we were almost breakeven in a very challenging quarter. So I think those demonstrate the trends that we are seeing, the improvements that we are seeing in our cash position and our cost structure, you are seeing significantly lower excess costs. And so if you look at last quarter, the cash from ops, you look at this quarter and then the guide that we are providing, you see -- you are seeing a very, very favorable trend, right, and getting very close to breakeven cash flow from ops even during the challenging times at this 31 a month. And as we get stable and we drive into next year, that’s what gives us a pretty good feeling that at stable 31 a month we can drive cash flow positiveness into our operations, take advantage of the cost optimization program and then who knows maybe late next year, a little higher production rate will be additive to that, but that’s kind of how we are thinking about it.
Kristine Liwag: That’s really helpful, Mark, and thanks, Tom. Really appreciate the time.
Tom Gentile: Thank you.
Mark Suchinski: Thank you.
Operator: The next question is from the line of David Strauss of Barclays. Please go ahead.
David Strauss: Thanks. Just a follow-up on this line of questioning, on helping us think about bridging this year to next year on free cash flow, is really $450 million to $500 million a positive change, I guess, less the advance repayments? Is that really almost all MAX rates stabilizing at 31 a month, is there anything else we should know in terms of a bridge? And then as a follow-up question, Mark, in terms of refinancing, is an equity raise on the table or are you solely focused on the refinanced them fixed income side? Thanks.
Mark Suchinski: Yeah. So second -- the second item first. We are not exploring an equity raise. At this stage of the game with where our stock price is that would not be fair to our investors. There’s other opportunities we have from a refinancing standpoint. The capital markets are available to a company like Spirit. So at this point in time, we are not looking at an equity raise. When you think about the cash flow, David, and I know what the math you are doing, you are saying, hey, $450 million minus the $130 million, you are at $320 million, right? And so is that $320 million improvement between 2022 and 2023, all 737? It’s more complicated than that, okay? At the start of this year, we were at 21 aircraft per month, right? We broke rate, we had to bring in additional inventory. We have seen a whole lot of disruption. Higher costs earlier in the year that had a significant negative impact to cash flow in the first quarter and a lot of that was, I would just say, costs that were consumed to break rate from 21 to 31 that won’t repeat. So I think you have a couple of things going on. As you move into 2023, the -- what I would call the cost -- the inefficiency costs that occur when you go up in rate, hiring people ahead of time, learning curve, et cetera. Those costs won’t repeat if we stay and get stable at 31 for a longer period of time. The second component is, just theoretically, we go up 70, 75 units on 737, very helpful from a revenue, earnings and cash flow standpoint. I will also tell you that we are expecting higher deliveries on the A320 program. Another very good program for us, a solid program and so we are seeing an uptick in several of our other programs, higher revenue on Defense, higher revenue on Aftermarket, all those things are contributors to the cash flow. And if we can get things stable from a factory standpoint, then we have an opportunity to start to burn down some inventory, not bring in the inventory that is needed during this challenging time. So I think the combination of all those factors, right, lead us to believe that ex the Boeing repayments, that we can take that negative $320 million that was -- that occurred here in 2022 and turned that around to being positive. And again, we will come back and talk more specifically about how much -- how more positive can it be. Give us a little time to dial in our production rates for next year, let us take a couple of more months to work through the disruption of our factories to try to get things a little bit more stable and we will have a better line of sight on that in a few months.
David Strauss: Okay. And how does the forward loss burn off on the 358, 70, 320 [ph] factor into all of this? I mean, you burned a lot of cash on those this year, just looking at the burn down of the forward loss balance. Has that been a negative to next year given higher rates there or is that a neutral?
Mark Suchinski: Well, what I would tell you is our cash forecasting, we are well aware of the fact that we have multiple programs that are forward loss. We know specifically based on our forward cost projections, exactly how much cash they will consume in 2023, 2024 and 2025, give or take. Some of the recent forward losses is going to put a little bit of pressure on that, but based on our current situation with the forward losses that we have taken through the third quarter and our projected cost versus price in 2023 that is factored into our assumptions that we can get to cash flow positive.
David Strauss: Thank you.
Operator: Our next question is from the line of Myles Walton of Wolfe Research. Please go ahead now.
Myles Walton: Thanks. Good morning.
Mark Suchinski: Good morning.
Myles Walton: There was a comment that Boeing made yesterday on two quality slips at their fuselage supplier in October that was preventing deliveries at pace and is requiring rework. I am just curious if that is something that happens at Spirit, and is it recovered and is there a financial impact that was observed in the third quarter or will be observed in the fourth quarter?
Tom Gentile: Yeah. It’s -- yeah. With the fuselage in all of our parts that go to Boeing across those different programs, there are occasionally some escapes either from things that we do or from our suppliers. I think the one that Stan was referring to was a supplier escape to us that ended up getting to Boeing. And if you think about it, there’s 80,000 parts on a fuselage and 450,000 fasteners, it can happen. It’s not routine, but we do see escapes and we work with Boeing to get those fixed. So it’s nothing systemic. I think it was isolated to one of our suppliers who had an escape in their factory, which unfortunately flowed through to Boeing and we are working with them to resolve it.
Myles Walton: And so was the impact observed in the third quarter deliveries or will it be observed in the fourth quarter deliveries? And to Cai’s point, all comments…
Tom Gentile: Yeah. I mean I think there are -- I don’t know specifically in their line, but it’s something that we don’t expect is going to persist all the way through the fourth quarter. So it would get resolved as these things normally do in a period measured in days and weeks, not months.
Myles Walton: Okay. Okay. I will…
Tom Gentile: I would call this a routine escape that we will resolve with Boeing.
Myles Walton: Got it. Thanks again.
Operator: Our next question comes from Michael Ciarmoli of Truist Securities. Please go ahead.
Michael Ciarmoli: Hey. Good morning, guys. Thanks for taking the questions. Just curious again, staying on the free cash flow, as we think about 31 a month into next year, where do you think the excess capacity costs track to, especially contemplating the cost reduction plan? And then just, I guess, you made some comments on 2025 for Aftermarket and Defense relative to the Investor Day. Should we still be thinking the Commercial targets are still good or does anything change with Boeing being at 50 and 10 for the 787? Thanks.
Tom Gentile: Right. Well, in terms of the excess cost. I will leave that one for Mark. Let me just talk about the 2025 outlook. Again, we work anticipating that the 737 rates would go up. We were anticipating the 787 rates would go up. I think Boeing has been more clear publicly now about those. And so we will incorporate those into our thinking and start to think about that impacts 2025 and 2026. But it’s consistent with what the scenarios were that we have been working with. So, no surprises on that.
Michael Ciarmoli: Okay.
Tom Gentile: Mark, on the 31 excess costs, I will let you answer, that’s accounting issue.
Mark Suchinski: Yeah. And we have talked about this before, just to give you a little history. In 2020, we incurred $280 million of excess costs. In 2021, it’s $218 million of costs through the first three quarters, we are at $126 million and we incurred around $31 million in the third quarter. Based on the 31 a month production rate, as well as a couple of other programs that are -- have excess costs, we expect the excess cost again to significantly improve year-over-year and we expect that to -- it should end up being slightly inside of $100 million. So another nice benefit from an earnings and from a cash flow standpoint.
Tom Gentile: Yeah. And I would say that the positive about the MAX going up to 50 in the 2025 timeframe and Airbus has already said they want the A320 family to be in the 75 range. That will be very positive for Spirit. 85% of our backlog is narrowbody aircraft. And as we get back to those rates, as we get back up to 52 -- towards 52 on the MAX, for example, the excess costs will go away. And we will be absorbing a lot better in terms of our fixed cost, and that will drive overall benefits for Spirit. So that’s, I think, one positive aspect of the recovery is that, domestic travel is recovering first. That favors narrowbody production. 85% of our backlog is narrowbodies and as those production rates increase on narrowbodies and we can absorb more of our fixed cost and drive productivity and efficiency in our factories that will be very positive for our productivity, our profitability and our cash flow.
Michael Ciarmoli: Got it. Thanks, guys.
Mark Suchinski: Thanks, Michael.
Operator: Our next question comes from the line of Ron Epstein of Bank of America. Please go ahead.
Tom Gentile: Ron, are you there?
Mark Suchinski: Yes.
Ron Epstein: Yeah. Sorry. I was on mute. I just try to mess it up. Anyway, a couple of questions, quick ones. How cash accretive is your Defense business today when we think about how supportive that can be to your cash flow outlook and how do you guys feel about the -- was it 7% to 9% cash flow guide that you -- target that you gave before?
Tom Gentile: Right. Well, in terms of Defense, as we have said, we expect that it should be at $1 billion by 2025 at, we call it, normal Defense margins of 12% to 14%. And there’s some -- obviously, some overhead on that, but it still would yield a very good cash profile. So the Defense business is a good solid business for us. It’s growing nicely. We have won a lot of new programs and as those get into full rate production, that will drive those economics, and obviously, with the global geopolitical environment right now, Defense looks like a very good place for us to be growing and diversifying. With regard to the 7% to 9%, that’s been a historic target. We have talked about it. I mean, obviously, in the last 24 months, the environment has changed a lot in terms of inflation, interest rates going up and a lot of other challenges in the supply chain. So we will take a look at that and absorb it and incorporate some of that thinking before we set targets. But things have changed, I mean, our aspiration is obviously as production rates increase to improve our profitability and our margins and our cash flow conversion, but we also have to take into account that it’s a much different macroeconomic environment than even it was 12 months ago. Mark, anything else to add?
Mark Suchinski: No. I think you are right. Ron, we have got to get stable. We got to get stable at 31 a month, first up first, start generating positive cash flow. Once we get a better line of sight into 2024 and 2025, where those production rates are and where the macroeconomic environment is, I think, we will be able to better discuss that. At this point in time, I don’t have a crystal ball that’s good enough to let me know where production rates are going to be and what the macroeconomic environment will look like during that time. But that’s what we were able to demonstrate in the past, right? And so we are fundamentally the same company, stronger Defense business, stronger Aftermarket business. And so, we are very focused on execution, getting stable and then getting back to the type of margins and cash flow that you guys saw back in 2018 and 2019.
Ron Epstein: Got it. Got it. And then if I may, maybe just one more broad question and this is maybe an observation, might be wrong, from what Boeing told the world yesterday. It seems like they are going to be more protective of their balance sheet. And if that’s the case, that kind of implies they are going to be less protective of other balance sheets and many in their supply chain. I mean, how does that complicate your life, if at all?
Mark Suchinski: I would just say, I -- my response to that is, we need to be prepared for lower, for staying, for us taking a longer timeframe to get back to the higher production rates, that’s what I am interpreting.
Tom Gentile: Right. And that’s exactly why we are launching this cost optimization program is to take control of what we control and not worry about the things that we can’t control or are beyond what we can control. So if we are going to be at 31…
Ron Epstein: Right.
Tom Gentile: … longer then we will make sure we can enhance our ability to be profitable and cash flow positive at 31.
Ron Epstein: Got it. Got it. That makes sense. All right. Thank you very much.
Tom Gentile: Thank you.
Mark Suchinski: Thanks, Ron.
Operator: Our next question is from the line of Noah Poponak of Goldman Sachs. Please go ahead.
Noah Poponak: Hello, everyone.
Tom Gentile: Hey, Noah.
Noah Poponak: How do you -- can you talk about how you expect your MAX units that -- I believe you said is now at 72. How do you expect that to progress from here and where do you expect it to and next year?
Tom Gentile: Right. Well, as we have said, over time, as the recovery continues, at some point, we will trail Boeing five units or so a month in order to burn off the excess units. Now some of the units are still in, I would say, holding pattern. So there’s some China units, for example. And so, we expect that, that will burn off. As Boeing goes up in rate, we will lag them and that gives us a little bit more time stabilize our factory. So that’s all a positive. The other thing is that, we have said this before is, the buffer has actually turned out to be a very good and helpful thing for both Boeing and Spirit, because it allows us to have a cushion in the production system to prevent any sort of last minute issues impacting loads at the Renton factory. And so we have jointly agreed with Boeing is that, we will keep a buffer in place and we expect that to be about 20 units or so. And that will be a permanent buffer that will help cushion the production system. And we didn’t have that in place back in the 2018, 2019 time period and it could sometimes create disruption. So we know there are some challenges in the production system ongoing, some things that happen right before delivery on occasion and so that permanent buffer will help cushion the production system. So we are at 72 now. We will keep a permanent buffer of 20, which means that we would want to burn off about 50. And then there are some that I said that are kind of in a holding pattern and so that’s the situation on the buffer right now.
Mark Suchinski: Yeah. Hey. I would just say this, Noah, it’s probably for your modeling purposes, because you are kind of talking specifically about 2023. We are at 31 a month. I don’t anticipate us going below 31 a month. That’s not in the cards. And based on Boeing’s conversation yesterday about they want to get stable at 31 a month. Those two conversations just would lead you to believe that we are not going to burn a lot off next year, which means our production at 31 and their production is 31 for the most of the year, which mean -- would mean that there probably wouldn’t be a significant reduction in the burn off of the buffer units next year, which would mean our buffer would probably continue beyond that into 2024 at some point in time. So I think based on what we told you about staying at 31 for most of next year, and what Boeing said yesterday, I just think from a modeling standpoint, that’s -- those are two data points to take into consideration.
Noah Poponak: So, basically, whenever they break to 38, you will then have, call it, four months to six months of staying at 31 to get the 70 to the 20?
Mark Suchinski: Well…
Tom Gentile: We do not necessarily burn it all off at once. So we may lag them a couple of months when they go to 38 and then maybe a couple of months when they go to 42 with the plan of burning the buffer off gradually.
Noah Poponak: Okay.
Tom Gentile: We are -- there’s no time pressure to burn it off and it’s actually providing a good cushion to the production system. So it’s serving a good purpose right now.
Noah Poponak: Okay. Can you quantify the cost optimization for next year?
Tom Gentile: Not yet. We are working on that. We will have more to say at the February earnings call.
Noah Poponak: Okay. And will any of that last into your longer term margins or should we consider the vast majority of that to be variable and it eventually comes back?
Tom Gentile: Well, the idea is to improve the -- reduce the structural cost, which ultimately will help margins. Now I know you are probably thinking also, does that mean your 16.5% target would go up. Well, don’t forget there’s lots of headwinds and you always have to run fast to stand still. And so I don’t -- it will help the long-term, obviously, it won’t necessarily help us go beyond the 16.5%. We would still have a long way to go to get there, given all of the other pressures like inflation that we are seeing right now in the macroeconomic environment. But it certainly will help.
Noah Poponak: Thank you.
Tom Gentile: Thanks.
Mark Suchinski: Thanks, Noah.
Operator: And our last question for today comes from the line of Peter Arment of Baird. Please go ahead now.
Peter Arment: Yeah. Thanks. Good morning, Tom and Mark. Hey, Tom and Mark, you both mentioned several times about just the ongoing labor shortages and you have talked about this for a while. Just maybe you could just update us on where headcount stands in Wichita and what you have to kind of get to, I guess, for beyond rate 31 whenever it occurs for you to kind of -- be able to kind of hit all the targets that you have kind of laid out longer term? Thanks.
Tom Gentile: Right. So, yeah, I mean, the issue is that, it’s -- as we have started to go up in rate, we have had to bring more people on. So, for example, we have about 11,000 people in Wichita right now and we have recalled this year in Wichita about 470 people. But, yeah, we have hired in Wichita over 1,900 new people. And so that gives you just an order of magnitude of roughly 2,300 new people, but 1,900 of those were new hires. And what we are seeing is based on history the level of attrition is just higher than in the past. I mean, it’s gone from about 9% to 12% overall. But what we are seeing is some of the new hires, particularly the entry-level mechanic positions the attrition rate has actually been even a little bit higher than that. And so that’s -- that kind of took a little bit of us to adjust to that higher level of attrition during Q2 and Q3. We have ended up having to hire more. I think we are starting to stabilize now. We understand it better. But those are the dynamics is, we have hired now globally over 3,200 new people globally, and 1,900 of those in Wichita. And with the higher levels of attrition, it’s meaning that we have had to go back and hire even more. But those are the dynamics. It’s a dynamic environment out there. As I said, in Wichita, we actually had to increase our starting hourly wage and we are even offering a signing bonus. But that’s helping, the job fairs are helping and we are getting to the point where we are stabilizing at 31 and we will continue to work on that as we anticipate higher rates in the future.
Peter Arment: Okay. And just a clarification, and Mark, maybe if you have it just -- do you remember what you were at back at staffing levels in Wichita back in 2018 in terms of total employment? Thanks.
Mark Suchinski: I don’t have that, Peter.
Tom Gentile: We will get that number and…
Peter Arment: Okay.
Tom Gentile: … get it out. Rather than just -- yes, I mean, I have a rough approximation, but I don’t want to give you a number that’s not completely accurate.
Mark Suchinski: Yeah.
Tom Gentile: It was higher than the 11,000 that I just quoted.
Mark Suchinski: Yeah. It’s in our 10-K, right?
Tom Gentile: We will get that out.
Peter Arment: Okay. Yeah. We can look at that. I appreciate all the details guys. Thanks.
Mark Suchinski: Okay.
Tom Gentile: Okay. Thank you.
Operator: Ladies and gentlemen, this concludes the Spirit AeroSystems Holdings third quarter 2022 earnings conference call. Thank you for joining and you may now disconnect your lines.